Operator: Good day, ladies and gentlemen, and welcome to the Lightbridge 2017 Second Quarter Earnings and Business Update Call. All lines have been placed on a listen-only mode. [Operator Instructions] At this time, it is now my pleasure to turn the floor over to David Waldman. Sir, the floor is yours.
David Waldman: Thank you, Jen. Good morning, and welcome to Lightbridge’s second quarter 2017 business update conference call. The company’s second quarter business update press release was distributed after the market closed yesterday and can be viewed on the Investor Relations page of the Lightbridge website at ltbridge.com. If anyone has questions after the call, you may contact Crescendo Communications, the IR firm for the company at 855-379-9900. Seth Grae, our Chief Executive Officer, will lead today’s call. In addition, the following executives are available to answer your questions. Linda Zwobota, Chief Financial Officer; Jim Malone, Chief Nuclear Fuel Development Officer; Jon Johnson, Senior Vice President and Nuclear Regulatory Expert; and Jonathan Baggett, Vice President and Deputy Nuclear Quality Assurance Manager. Today’s presentation includes forward-looking statements about the company’s competitive position and product and service offerings. During the course of today’s call, words such as expect, anticipate, believe and intend will be used in our discussion of goals or events in the future. This presentation is based on our current expectations and involve certain risks and uncertainties that may cause actual results to differ significantly from such estimates. These and other risks are set forth in more detail in Lightbridge’s filings with the Securities and Exchange Commission. Lightbridge does not assume any obligation to update or revise any such forward-looking statements, whether as a result of new developments or otherwise. You can participate in today’s call in two ways: First, you may submit questions for management in writing to ir@ltbridge.com. If you’ve already submitted a question, we thank you. You can submit them at any time during the prepared remarks or during the Q&A period. Second, after the prepared remarks, telephone lines will be opened for live questions. Now, here is Lightbridge’s CEO, Seth Grae. Please go ahead, sir.
Seth Grae: Thank you, David. Good morning, everyone. This quarter, we continued to make progress toward commercial deployment of our proprietary next-generation fuel. We greatly appreciate the continued support from AREVA NP in moving the process forward towards establishment of a formal joint venture between our two companies to develop, manufacture and commercialize fuel assemblies based on our fuel technology. As the leading nuclear supplier company in the world, AREVA brings unparalleled technical and manufacturing expertise as well as an established global customer base. So let me take a moment to address the most important question we are hearing from investors. Why is it taking so long to establish the JV? And why haven’t we met some of our time lines? During our last quarterly conference call, I said that we expected to announce news within weeks and months. The only material announcements we’ve made within weeks were about patents. Well, patents are important. I meant that we would announce news related to the JV within weeks. Here is why that didn’t happen. When the JV process began last year, we expected to set up the JV within six to nine months. However, we ran into issues associated with the JV formation due to AREVA NP’s corporate structure, which took some time to resolve. This did not equate to a lack of interest or motivation on the part of either company. Electricite de France, known as EDF, is the largest owner and operator of nuclear power plants in the world. EDF is now in the process of acquiring a controlling stake in AREVA NP. The acquisition of AREVA NP by EDF requires EDF actions related to activation of the JV, since EDF will be the parent company of AREVA NP. AREVA NP is now in a full transition period as part of its acquisition by EDF. Therefore, there are extra steps to validate the formation of our JV. But we are now in full agreement on the target JV structure, and are moving full speed ahead on the JV operating agreement. The current plan of both Lightbridge and AREVA NP is to sign the JV Operating Agreement in the fourth quarter of this year and launch the JV in early January of 2018, soon after the closing of EDF’s acquisition of AREVA NP. Overcoming these complexities has been no small task. But we are proud of our accomplishments, which further illustrate AREVA NP’s commitment to our innovative fuel technology despite some significant and unforeseen obstacles related to timing. I would further point out that we have successfully resolved the most difficult and complex issues and the remaining steps are fairly straightforward. As a result, we are fully confident in our current schedule for closing the JV. In parallel, we are working with AREVA NP on finalizing a set of other binding agreements relating to the JV that set forth terms and conditions for joint research and development activities and treatment of all intellectual property, IP, including background IP contributed by each entity and foreground IP generated as a result of joint fuel development work. These binding agreements together with the JV Operating Agreement define our overall arrangement with AREVA NP. We expected to be making a public announcement relating to these other binding agreements either before or simultaneously with the JV Operating Agreement. We’re also moving forward in finalizing plans for irradiation testing of our nuclear fuel samples at the Halden reactor. I know some of these statements are vague at this time, and we will announce further details later this year. On the customer side, we are working closely with a leading U.S. nuclear utility to formalize an end user agreement for the first use of Lightbridge-designed nuclear fuel in a commercial reactor in the United States. This utility is in addition to the one with which we signed a letter of intent in November of last year. The timing of finalizing these arrangements is contingent on first signing the JV Operating Agreement with AREVA NP. So the utilities will know a nuclear fuel manufacturer is contractually committed to providing the fuel. So operationally, we’re moving forward even though closing the JV has taken longer than we expected before issues relating to EDF’s acquisition of AREVA NP arose. This quarter, we also continued to expand our intellectual property protection as part of our global strategy. Most recently, we announced a Notice of Allowance in South Korea from the Korean Intellectual Property Office for a key divisional patent covering Lightbridge’s innovative metallic fuel assembly design for Western-type pressurized water reactors incorporating four-lobe, helically twisted metallic fuel rods and a proprietary manufacturing method for metallic fuel rods using powder metallurgy. This new patent expands the intellectual property protection offered by our earlier patent in South Korea, now including the design of the assembly of fuel rods and some of the proprietary manufacturing method that Lightbridge also invented. In May, we received another key patent, expanding our patent protection in China. This new patent covers a tri-lobe variant of our extruded metallic fuel rods using Russian-type VVER reactors, which are the dominant type of reactors currently under construction worldwide. To date, we have received numerous patents covering our metallic nuclear fuel rod design, and now have very broad intellectual property protection in our key markets, including the United States, Canada, China, Japan, South Korea, Russia, European Union member countries and elsewhere around the world. Overall, feedback from the nuclear power industry has been positive due to a unique combination of the economic and safety benefits our fuel provides for existing and new build reactors, which cannot be matched by any fuels currently in use or under consideration, and the industry needs it. The announcement last week that companies will abandon construction of two Westinghouse [indiscernible] reactors at the VC Summer site in South Carolina, highlights the growing urgency to make nuclear energy more competitive. As you probably know, nuclear energy is America’s largest source of emission-free power, providing virtually no climate change gases or air pollution. But several operating nuclear plants have shut down prematurely and others are at risk. Worldwide though, nuclear power continues to grow. Yesterday, World Nuclear News reported on a new International Atomic Energy Agency, IAEA, report, called International Status and Prospects for Nuclear Power 2017. The IAEA considers factors affecting the future of nuclear power, including financing, electricity markets and public acceptance. The IAEA determined that nuclear power will grow globally and could more than double by 2050, with 123% increased nuclear capacity by then. Even with increasing global electricity needs, the IAEA projects nucleus share of global electricity generation increasing from today’s 11% to 13.7% by 2050. The reports of low case projects nuclear generation at current levels in 2050, with new reactors equaling the capacity of reactors that will be shut down. Making nuclear energy more competitive requires innovation. Lightbridge’s innovative fuel promises to significantly improve safety and economics, both in existing and new reactors. We project that upgrading a nuclear plant with our fuel would be the least expensive way to add emission-free power to the electric grid, while also significantly improving safety. And we plan to do this soon enough to make a difference for climate change globally, which is important for the embattled nuclear sector. We’ve been invited to present the Lightbridge fuel at a number of important industry and scientific events, including our presentation at the American Nuclear Society’s 2017 Annual Meeting in June. We’ve also received questions from investors about renewing our equity line with Aspire Capital and our ATM with FBR. We took these steps solely for corporate planning purposes to give us financing flexibility in anticipation of significant milestones later this year and next year. We have the capacity to sell a predetermined amount of stock registered under the agreements with Aspire Capital and FBR. However, we have no intention to sell those quantities of stock. And in fact, we are exploring a number of strategic options that could mitigate our need to utilize these facilities. As shareholders ourselves in the company, we have no desire to see unnecessary dilution especially at the current stock price. We know you’ve needed to be patient with us. We look forward to announcing significant milestones in the months ahead. Now I’ll turn the call over to Lightbridge’s Chief Financial Officer, Linda Zwobota, to summarize the company’s financial results for the quarter.
Linda Zwobota: Thanks, Seth. At June 30, 2017, we had approximately $4.1 million in cash and restricted cash compared to approximately $3.7 million in cash and restricted cash at December 31, 2016. The $0.4 million increase in cash and equivalents resulted from the sale of approximately $3 million of our common stock during the six months ended June 30, 2017, offset by net cash used in operating activities of $2.5 million and cash used in investing activities of approximately $0.1 million. We used cash during the six months ended June 30, 2017, primarily to fund our research and development as well as general and administrative expenses. We had approximately $3.7 million in working capital at June 30, 2017, as compared to working capital of approximately $3.4 million at December 31, 2016. Stockholders’ equity at June 30, 2017, was approximately $5.7 million compared to stockholders’ equity of approximately $5.6 million at December 31, 2016. We have no debt or debt credit lines, and we have financed our operations to date through the sale of our common stock and our consulting revenue. For the second quarter ended June 30, 2017, net loss attributable to common shareholders was approximately $1.7 million or a loss of $0.17 per share on revenue of $0.01 million. In the same quarter of 2016, the net loss attributable to common shareholders was $1.3 million or a loss of $0.30 per share on revenue of $0.1 million. All revenue was generated from consulting services. Our main business is developing our nuclear fuel, and we may continue to provide some consulting services in the future. But we have shifted the focus and resources of the company to the fuel division and away from consulting. Stock-based compensation expense was $0.4 million for the six months ended June 30, 2017, compared to $0.6 million for the six months ended June 30, 2016. This concludes my summary. I will be available for your questions during the next segment of today’s presentation. And, Seth, back to you.
Seth Grae: Well, thank you, Linda. Let’s open the call to your questions. In addition to asking live questions by telephone, you can also submit questions in writing to ir@ltbridge.com. We’ll pause while the operator, Jen, reviews the procedure for asking live questions. Jen?
Operator: Thank you. The floor is now open for questions. [Operator Instructions]
Seth Grae: While we wait for live questions, David Waldman, who you heard earlier in the call with Crescendo Communications, who handles our Investor Relations, can proceed with any questions coming in by e-mail. David?
David Waldman: Thank you, Seth. Our first question is actually a couple of related questions from different investors. With EDF acquiring AREVA, what do you see as the impact of this transaction? And related to that, how has AREVA’s restructuring affected their relationship with Lightbridge? And are the new stakeholders supportive of the joint venture?
Seth Grae: Well, I’ll say that, AREVA’s restructuring has had no negative effect on the relationship with Lightbridge. The new stakeholders have approved the joint venture with Lightbridge and that took some time as they came onto the scene and – but that has happened. Let me run through this a little bit. AREVA SA is the publicly traded company on the Paris Stock Exchange. It’s ultimately majority owned primarily by the French government. And it’s the largest nuclear supplier in the world. One piece of that, AREVA NP, that we’re dealing with, is going to remain the largest nuclear supplier company in the world, and AREVA NP will design and manufacture nuclear fuel, reactor component manufacturing, AREVA NP will design reactors and service reactors. Other pieces that have been under AREVA SA are going off under other companies, including uranium mining, conversion, enrichment, reprocessing of spent fuel, transportation, logistics, those will be the separate company. But AREVA NP that will be in – will be in the largest supplier company in the world. AREVA NP will never be less than 51% owned by EDF. EDF is the largest owner and operator of nuclear power plants in the world, including all of France’s reactors, now British Energy in the U.K. will be aggressively into the U.K. and elsewhere overseas. Combined, they will be the largest nuclear company in the world by any metric, from owning and operating reactors to making nuclear fuel, both as a supplier company and as an owner and operator of nuclear plants. So the combined JV – well, the combined JV partner, our JV partner is AREVA NP, but owned by EDF, will be the dominant nuclear company in the world where several others have been going in the other direction. We’ve been meeting quite frequently with people here in the United States and in France. And I think this is going forward very well. Yes, Jim, if you want to add anything on this?
Jim Malone: I think you’ve summarized it well. One feature of the AREVA situation is the investment in AREVA by Mitsubishi, which is another positive factor because that opens up some additional markets AREVA and Mitsubishi has combined their design forces to create something called ATMEA reactor and that reactor may be adapted to utilize our fuel, getting more power out of the same footprint, which is important, especially in Asia.
Seth Grae: Yes, and that could be for a 30% power [operate fuel], and going into a combined company, the designs, builds, operates, does everything for reactors, makes the fuel, I think, as a stronger partner for that. So EDF will never own less than 51% of AREVA NP. Mitsubishi – Mitsubishi Heavy Industries, MHI, will own a piece. There are other large companies that are also negotiating for pieces that strategically, I think, are also very good for us around the world. Let me pause there and ask, Jen, if there are any live questions.
Operator: Yes, thank you. We do have a live question from Harold Weber. Please state your question.
Unidentified Analyst: Yes, hi guys. How are you doing?
Seth Grae: Hello.
Unidentified Analyst: Seth, I was hoping you could just elaborate a little bit on the Halden reactor test scenario, timing, how long it would be, how long it lasts, how long it will take to get results, things of that nature?
Seth Grae: Yes, yes. And let me ask Jim, who is in charge of those negotiations to chime in, yes?
Jim Malone: Good question. I appreciate it. The Halden situation is good. We are in the process of preparing the first samples to be installed in the Halden reactor, hopefully, in March of next year. The fabrication is under the control of AREVA through their subsidiary company CERCA, which specializes in manufacturing unusual shaped fuels. They do a lot of work with research reactors, so they’re quite competent. And just as luck would have it, they had the material we need to form those special samples, the first test at Halden and is going to be the measure of thermal conductivity of the fuel as it burns, which is a very important licensing parameter and performance parameter to help us understand how robust the fuel is as it ages under the neutron environment. Subsequently, we will be putting into Halden several samples that are 70 centimeters long. Their purpose is to demonstrate further properties of the fuel, including the performance of the cladding, the performance with respect to swelling and other important parameters from the point of view of licensing. We’ll have that fuel ready, we believe, in about 18 months, which is longer than we have hoped. However, Halden shuts down once every six months for refueling and reorganization of the reactor core for the samples that are currently in there. So we will have and are negotiating with Halden the exact schedule when we will be able to insert our samples. The samples will be in there for various periods of time. Once again, we have constructed a mode of testing that will allow us to remove samples as they burn and destructively test them to understand how the fuel is performing with respect to its burnout. Those samples will be available first and foremost to match the 18 months cycle that the reactors currently operate on, which allows us to line up with our Lead Test Assembly program at the burnout that will be achieved by the lead test assemblies. Subsequent rods will go further and we’ll demonstrate the viability of the fuel with a 10% power upgrade and a 24-month operating cycle, so we’ll gather further information. And as we gather this information, we’re already preparing to discuss our progress with the Nuclear Regulatory Commission to maintain their ability to stay informed and understand our fuel is different from the existing uranium dioxide pellet fuel that is in the individual rods in the current fuel designs. So I think we’re very optimistic about completing this work with Halden. Halden has been very responsive and technically excellent in helping us to solve some issues like the ability to measure the thermal conductivity while the fuel is actually in the reactor, which is something that can’t be done anywhere else. So we’re very pleased with that kind of approach of the situation.
Unidentified Analyst: Okay. So would it be reasonable to say then that we will be getting interim results that can be published, spoke about?
Jim Malone: Yes. We sure will. Actually, we’re quite anxious to have those results because we believe they will be impressive.
Unidentified Analyst: Ultimately, that’s the key to our success, right?
Jim Malone: That’s right.
Unidentified Analyst: Okay. In other words, basically, you feel that we’re on track and the scenario is going along well.
Jim Malone: Yes, that is correct.
Unidentified Analyst: Okay, very good. Thank you.
Seth Grae: Thank you, Harold. And Jen, any other live questions at this point?
Operator: [Operator Instructions]
Seth Grae: And David, while we’re waiting for that, any other e-mail questions?
David Waldman: Yes. So our next question is, there has been a lot of discussion around new accident-tolerant fuels. Can you talk a bit more about the competitive landscape? And what these fuels offer or lack as related question we got was in spite of Lightbridge’s stated fuel advantages, why do we see AREVA advancing with the insertion of lead test assemblies in South Carolina of their own chromium-coated accident-tolerant fuels? And also could you comment on the recently announced Westinghouse EnCore accident-tolerant fuel in relation to Lightbridge’s product, does it pose a threat?
Seth Grae: I’ll start and then I’ll ask Jim to chime in. And – no, we don’t see these as opposing a threat. I’ll answer that last question first. After Fukushima, there was a great focus put by the U.S. Department of Energy on whether nuclear fuels could be developed that under such a circumstance, such an accident could hold up better, could hold up longer. And that led to the so-called accident-tolerant fuels program, which sometimes is called advanced technology fuels, but mostly called accident-tolerant fuels. And what we find is that when the U.S. government makes money available, companies tend to take it. And they – and we see several of these programs going forward, but what we don’t see is any that actually offer material safety advantage. Nothing like what our fuel can offer, which we, again, design and was well under way well before the accident-tolerant fuel program started. And what they also don’t offer is an economic benefit, which the industry definitely need. In fact, they seem to offer an economic penalty. And in a world where reactors are shutting down due to lower price of natural gas switching to a fuel that provide an economic penalty just doesn’t seem realistic. So we do see fabricators and we do see utilities looking at new technologies, which I think is a good idea. But what we’re finding is that the leaders of these programs are suddenly coming to us, and I’ll ask Jim to address that a bit and maybe even the TREAT reactor, which is another reactor being added to our program.
Jim Malone: Thanks, Seth. The accident-tolerant fuel program began almost immediately after the events at Fukushima. And at that time, the DOE had a advisory group of utilities who down selected a few technologies from the many that were considered at that time. The reason they gave for not selecting Lightbridge fuel was that we have zirconium in the fuel. And they did that without understanding the fact that our fuel does not reach the temperatures required to have the steam zirconium reaction, which resulted hydrogen release at Fukushima. So we were basically the red-headed stepchild in the fuel industry at that time. Interestingly enough, since then, in the last several months, we’ve been asked to return to participate in industry forums related to accident-tolerant fuels, and we have done that without making a commitment to receive funds from DOE. The reason we have not done the funding from the DOE is that their intellectual property folks associated with that funding that we don’t want to deal with. We want to retain the value of our fuel for our shareholders. We don’t want to be sharing it with the DOE. So we have not participated in the funding aspect of it although we are actively participating in all of the meetings now that are being held with the Nuclear Energy Institute, the Electric Power Research Institute and the utility groups. We are actually representing in all of the working groups related to the accident-tolerant fuel program at this time. The competitive landscape Seth touched on, there are several fuels and as is pointed out in the question, AREVA actually has an accident-tolerant fuel design that they are testing in a South Carolina reactor. Interestingly enough, if you think about it, that fuel was designed as part of the DOE program supported by DOE. And at the same time, even though they were not getting any funding from Lightbridge, they assessed the Lightbridge fuel and elected to proceed with it in spite of the fact that they have this other program ongoing. So that I think the considerable effort that they have expended to move the Lightbridge fuel forward demonstrates their commitment to and belief in the Lightbridge fuel.
Jim Malone: At this point, any other live questions, Jen?
Operator: Yes, we do have our second live question from James Anderson. Please state your question.
Unidentified Analyst: A few questions. Can you provide a little more detail about the remaining regulatory steps? And also, in your SEC filings, you mentioned various estimated schedules, some that stretch all the way to 2029. As investors, we’d hope to see revenues well ahead of this. Can you comment on revenue time lines and this long time line overall? And then lastly, I do want to compliment you on your solid effort articulating the advantages of your fuel and the potential of nuclear energy, very confident in those statements. However, in spite of large and lucrative markets, history is littered with bankrupt companies that had innumerable patents and advanced technologies, but failed to capitalize on them. I think I heard you say this, but I hope we share the belief that while newsworthy letters of interest and patents are not sufficient to sustain Lightbridge, and only a readily recognizable revenue event conclusively validating that commercial viability of your product will.
Seth Grae: Well, that’s why we are starting with going right to the customers. Our nuclear utility fuel advisory board, which consist of Exelon, Duke, Dominion and Southern Company, own and operate half the nuclear power plants in the United States, which is the largest nuclear country in the world. And we’re working with France, which is the second largest nuclear country in the world and has the highest percentage of its electricity generated by nuclear power. And having their input and working with them to demonstrate the fuel first in reactors here in the United States regulated by the NRC also helps. It helps to hit the rest of the world once we’ve NRC approvals here. In terms of regulatory steps, the first part of your question, as Jim mentioned, there’s already some interaction with the NRC and both the fuel fabricators and the utilities need to license what they do with the NRC. I think this has laid out fairly well in our filings. I don’t know, Jim, if you want to comment on the licensing?
Jim Malone: The licensing approach that we’re using is informed by experience of other companies who have had significantly different approaches to the technology, requiring modification of NRC standard review plans. We originally thought we would simply try to comply with this standard review plan, and the guidance we have received from the new fab utilities and other companies that have experienced unique approaches is that, it is best to approach the NRC with the standard review plan that exist and explained why our fuel does not fit into all the boxes that are in that current standard review plan. We will suggest where we have no vulnerability and also suggest where the fuel might have a regulatory issue that is absent from other fuel designs. So we’re going to be working very carefully with new fab and with the NRC in order to maintain a dialogue that will directly lead to licensing process that’s going to be satisfactory for our fuel without making not necessarily cumbersome by trying to duplicate the effort of the standard review plan for the uranium dioxide fuel that this fuel will replace.
Seth Grae: Yes, I’ll ask Jonathan Baggett to come into this briefly as well. And that everything we do, everything our partners do, everything has to be done under the leading nuclear quality assurance practice and standards so that what we’re doing will be accepted by the NRC and other regulators around the world. And what we’re doing will be accepted by AREVA, by utilities here and around the world. And this stuff is a lot more stringent than Sarbanes-Oxley and we’re very good on our financial compliance, but nuclear compliance is even stricter. You just briefly chime in on what you’re doing in this area, Jonathan.
Jonathan Baggett: Well, we’ve implemented NQA-1-2008 quality assurance program, which is what complies or meets the requirements – quality assurance requirements by the NRC. We’re ensuring that our suppliers, anyone working with us has the same compliant program. And we’re also – next month, we’ll be audited by an independent consultant to ensure that our program and our practices comply NQA-1.
Seth Grae: And this is important because you can’t commercialize what we’re doing without having that. And Jim, on the timeframe, James mentioned here 2029 in some of our filings, I think, we’ll see some important commercialization steps this year, and then we’re going to have fuel moving through several reactors and payments to the JV much earlier than 2029, if you want to just [indiscernible] generally walk through that a bit.
Jim Malone: Yes. You’ve heard us refer to the test assemblies and those are not a gratis transaction on behalf of the joint venture. The joint venture will be compensated for preparation of the lead test assemblies and these submittals that will go to the Nuclear Regulatory Commission for their review and approval of those. So there is a revenue stream that will begin with the lead test assemblies and leading to battery loads, and I struggle with the 2029 because I’m an impatient person. And I think that we will have revenue prior to that date associated with battery loads of the fuel into a commercial reactor in the U.S. I think that there is a significant groundswell behind it. As Seth mentioned, the new fab utilities operate 50% of the reactors in the U.S. That is a substantial approach to the market. I also want to say that everything we’re doing right now is focused on the pressurized water reactor, the four-lobe Westinghouse plants. The fuel, as we’ve mentioned several times, is suitable for use in all other pressurized water reactors, light water reactor of U.S. design or French design or Japanese design. It also works in boiling water reactors. So as we get past the initial phase of testing at Halden, we do not have to duplicate all of that testing if you want to insert the fuel into reactor built by combustion engineering by Babcock & Wilcox. So the target audience broadens quickly. We will also have the opportunity to enter into the boiling water reactors, although with BWRs, we’ll have to do a little bit more work at Halden in their boiling water reactor to satisfy the corrosion and swelling behavior of the helically twisted BWR fuel. So we’re going to have a very large audience with respect to the pressurized water reactors, and I believe that we’re going to see pretty rapid increase in revenue out in that latter part of a – between 2027 in that timeframe.
Seth Grae: Yes. And when Jim mentioned battery load, that’s full commercialization. Reactors generally replace about 1/3 of their fuel at each battery load, and then after three reload, the entire core is filled with the hyper fuel. And the lead test assemblies will come well before that. And Jonathan, do you want to add something...?
Jonathan Baggett: Yes, just on the regulatory process. We’ll initially start with rods and assemblies and commercial reactors. And there are now limiting locations. We’re in discussions with that NRC that we can use a process called 50-59, where basically a risk-informed assessment, where if you don’t increase the risk profile of the power plant, the regulatory requirements are much less. And it’s a much faster process where the utility can implement this without having any additional license approvals. We will have a few license amendments that we will have to make that stay outside the current plan, which include – that because of our enrichment levels, but those are pretty minor issues. So initially, I think, our – to implement our lead test rods and lead test assemblies, we believe that will be a very efficient process [indiscernible] because of 50-59.
Unidentified Analyst: Great, thanks.
Seth Grae: Jen, any other live questions at this point?
Operator: There appears to be no more live questions at this time.
Seth Grae: Okay. And David, any other e-mail questions?
David Waldman: Yes. We have one final question, which you’ve touched on a little bit earlier, but if you could comment on the current outlook for the nuclear industry given the rising construction costs for nuclear and falling costs for photovoltaic and wind power?
Seth Grae: Yes. Well, as I’ve mentioned earlier in the call, if you look at World Nuclear News online to the article that came out yesterday about the new report from the International Atomic Energy Agency that is really the most credible independent source in the world, it’s a member organization where every member is a government, about 160 governments around the world are members, including everyone with nuclear power. And what their report shows is the worst case scenario is a nuclear power in 2050 in the world seeing equal to what it is today, with new builds equaling the reactors that will shut down. But the more likely and then best-case scenario is to show pretty significant increases in nuclear power, with nuclear power more than doubling. And if you look at the reactors being built in China, in India, in the U.K., in the United Arab Emirates, new reactors being ordered from Turkey to just new announcements in Egypt. And all over the world, when we talk about reactors overbudget and behind schedule and not finishing construction, that’s not happening in these places. The reactors in the UAE are pretty much on schedule and on budget. And we’ve been very honored to work on that program. We talk about these reactors being built around the world that are doing quite well with large numbers being ordered. In fact, it was recently reported by the IAEA and others that 2016 had more new nuclear added in the world, I think, than any time in the last 25 years.
Jim Malone: Of 10 gigawatts.
Seth Grae: Yes, 10 gigawatts more than any year in the last 10 years, which obvious goes back before the March 2011 Fukushima accident. So nuclear in the world is growing. Renewables are growing in the world, too. And I think they work well together in a world increasingly concerned about air pollution, in a world increasingly concerned about climate around the world. And around the world, it is a very pressing issue. And as we travel to New Delhi and Beijing and other places and try to find air, I think you can understand the need to switch to nuclear power in ways that renewables just can’t. Wind power will contribute, but it’s not going to power Beijing. Wind power will contribute, but it is not going power New Delhi. So there is a place for both. There is roles for both. There’s roles for conservation. There is roles for efficiency. There is roles for solar. There is roles for natural gas. There is roles for fossil fuels overall. But nuclear is the only baseload 24/7 power source that could actually power a city if you want the lights on when the wind isn’t blowing, the sun isn’t shining and powering massive industry. And we’ve gone through quite a bit. You can see in our investor presentation online the analysis at a Stanford Research Institute on a cubic mile of oil, which conclude, I think, quite convincingly that the world can only meet its climate goals with significant increase in nuclear power. As part of the answer, not the only part, but part of and without significant increase in nuclear power as well as renewables, the world can’t come close to meeting its goals. And fortunately, with the new report that came out yesterday, it looks like that’s actually going to happen. And Lightbridge’s market for fueling existing and new reactors will grow. Somebody ask just once more, Jen, if you have any last live questions? And if not, David, if you have any e-mail question?
David Waldman: We do. We just got one last final question regarding the opportunity. It appears the fastest growth opportunity in the world is China. Can you speak to your opportunity in that country, and if the political environment in the U.S. would help or hurt that opportunity?
Seth Grae: Well, I think, our opportunity is global and the largest nuclear market in the world is the United States in terms of number of reactors to fuel and the second largest is in France to fuel existing reactors. China is well down the list, but it is by far the fastest growing and in time, will become the largest market in the world. So it’s very important to us. I’ll note that AREVA has designed and deployed many of the reactors in China. I mean, from the Daya Bay reactors that have been operating for a long time to the Taishan reactors that are under construction right now [indiscernible] so a lot of huge AREVA presence in China and has been for some time and I’m sure always will be. And in addition to the pressurized water reactors operating and being built in China, they also have several and building more Russian VVER reactors. And if you kind of dominate in China, yet, not just be able to fuel PWR, you have to able to fuel Russian-designed VVERs. And having just got in this new added patent protection in China for the Russian VVERs was very important to us to make sure that we could really hit on all cylinders in China, really have a chance to fuel all the reactors there through our JV and some arrangements that JV might make. So with that, I think, these were really fantastic questions, excellent questions. I want to thank all of you and all of our investors who called in today. We look forward to providing additional updates in the near future. In the meantime, our lines are always open at ir@ltbridge.com. Please follow us on Twitter at Lightbridge Corp. Sometimes we put out tweets of some information like this IAEA report. And it’s always 1-855-379-9900, not only during these calls. So thank you, again. We look forward to speaking with you next quarter on the call. And goodbye.
Operator: Thank you. This does conclude today’s teleconference. We thank you for your participation. You may disconnect your lines at this time, and have a great day.